Operator: Good day, ladies and gentlemen. And welcome to the Third Quarter 2012 Media General Earnings Conference Call. My name is Stephanie, and I’ll be your coordinator today. At this time, all participants are in listen-only mode. Following the prepared remarks there will be a question-and-answer session. (Operator Instructions) I would now like to turn the presentation over to Ms. Lou Anne Nabhan, Vice President, Investor Relations. Please proceed.
Lou Anne Nabhan: Thank you, Stephanie, and good morning, everyone. Welcome to our conference call and webcast. Earlier today, we announced our third quarter 2012 results. The press release is on our web site and a transcript of today’s comments will be posted immediately following the call and a little later today a replay will be available. Our presentation today does contain forward-looking statements which are subject to various risks and uncertainties. They should be understood in the context of the company's publicly available reports filed with the SEC, including the section on risk factors. Media General's future performance could differ materially from its current expectations. Our speakers today are Marshall Morton, President and Chief Executive Officer; George Mahoney, Vice President and Chief Operating Officer; and Jim Woodward, Vice President, Finance and Chief Financial Officer. Let me now turn the presentation over to Marshall.
Marshall Morton: Thank you, Lou Anne, and good morning, everyone. The third quarter was in many ways extraordinary for Media General. On June 25, the first day of the third quarter, we completed the sale of the majority of our newspapers to Berkshire Hathaway. We used the net proceeds from the sale immediately to reduce our debt outstanding from $652 million at the end of the second quarter to the $551 million you now see at the end of the third quarter. From an operating perspective, Media General’s television stations had an outstanding third quarter. Political advertising in this very competitive election year is at an all-time high. We’re benefiting from operating top-ranked stations, where political advertisers prefer to place their ads and from our presence in the key battleground states of Ohio, Florida, Virginia and North Carolina. Political revenues in the third quarter were nearly $20 million. The Summer Olympics in London was the most watched television event in U.S. history and that translated into record Olympics revenues for our 8 NBC stations, $15.5 million. On top of fully leveraging these event driven revenue opportunities, our core business was strong in the third quarter. George will elaborate on that in a moment. Broadcast cash flow more than doubled to $41 million this year from $20 -- from $19 million last year. Station revenues increased by $28 million or 42%. Broadcast cash flow margin in the current quarter was 43.5%, compared with 29% last year. Weeks since the third quarter closed have also been remarkable. Last week, we completed the sale of our only remaining newspaper group, The Tampa Tribune and its associated print and digital products. With that sale, the transformation of Media General’s business model to one focused entirely on broadcast television and digital media is complete. Media General is strongly positioned for future success, based on operating 18 network-affiliated local television stations and growing in important markets mostly in the Southeast. Most of our stations are number one or number two in their market. In addition, our financial position has been greatly strengthened this year as a result of our new financing arrangement with Berkshire Hathaway that was completed in May. Berkshire Hathaway provided us with a $400 million term loan that matures in 2020 and a $45 million revolver. This arrangement provides us with significant operating and financial flexibility till the end of this decade. In August, I announced that I’m going to retire at the end of this year. I’ve worked closely with our Board for the past few years and plan for the best management succession for Media General, so I was delighted that the Board elected George Mahoney to succeed me. George and I’ve worked together closely since he joined Media General in 1993 and he has been a part of the company’s every success. I’m confident that George has the experience, talent and energy to lead Media General to new successes. He understands the company well. He doesn’t get bogged down in the past, he learns from it and he embraces the future as an opportunity. We’ve done that for a long time at Media General. I think George will continue that and actually ramp it up. George will be supported well by our Chief Financial Officer, Jim Woodward, whom many of you know and by all of our corporate officers. Having reached my 67th birthday earlier this month, I’m looking forward to retirement. Overall, Media General has a bright future that is brightened I believe by the tighter focus we have today, by the strong cash flow and by the plans we have in place to enhance cash flow through better margins. We’re able to take advantage of a marketplace that’s thirsty for now for information, we’ve got the information. Future of the media business is always one that has shift and change in it. The management that will be in place going forward is a management that understands the need for shift and change. I feel very comfortable that our management team and the majority of our employees really have the talent and the drive to make the most of the new opportunities supported by our new business model and our greatly strengthened balance sheet. I am assisting with a smooth transaction -- transition and also look forward to continuing my service as a Director. And now, I’ll turn the presentation over to George.
George Mahoney: Thank you, Marshall. It is wonderful to be able to focus all of Media General’s resources on our higher margin Broadcast Television and Digital businesses. Media General has an attractive economic model, fueled by revenue growth, including Political, Retransmission and increasingly, Digital revenues. Let me review our operating results for the third quarter of 2012. Operating income was $22.5 million, more than four times last year’s $4.8 million. The current year is even stronger when you consider that it included $3.3 million of corporate severance expense, the absence of last year’s $1.9 million salary expense savings from a company-wide furlough program, higher sales commissions on our increased revenues and about $1 million of incentive compensation expense that was not present last year. Total revenues increased 42% in the third quarter to $94 million this year, compared with $66 million last year. This growth was driven by nearly $20 million in Political revenues and $15.5 million in Advertising during the Summer Olympics. Approximately $2.5 million of Political advertising that aired during the Olympics is included in both the Political and Olympics amounts. The main revenue story for the third quarter is, of course, Political. We have six stations in four key presidential battleground states - Florida, Ohio, Virginia and North Carolina. This quarter's political revenues reflect spending by the presidential campaigns, PACs, Super-PACs and some state and local campaigns. Our Ohio, Virginia and Rhode Island stations also benefited from closely contested Senate races. As we announced last week, we have increased our outlook for Political revenues for the full year to between $57 million and $58 million. Our Olympics revenues increased 40% compared to the 2008 Summer Games in Beijing. As Marshall noted, the London Games broke all sorts of viewership records, and we benefited from this heightened interest. Of the 56-metered markets in the U.S., we were very proud that our Columbus, Ohio station was rated fifth for NBC's prime-time coverage during the games. Our stations in Birmingham, Tampa, Providence and Raleigh also showed well. Turning to a broader perspective, our gross time sales in the third quarter that is, excluding political but including Olympics grew 17%. Local gross time sales accounted for two-thirds of our core business. It increased nearly 16% in the third quarter. National gross time sales grew by more than 19%. Automotive continued to be our largest advertising category, accounting for 23% of our advertising revenues. Automotive grew 45% over last year. This explosive growth is in comparison to a very weak quarter last year when the auto industry was still recovering from the tsunami in Japan. It additionally reflected significant Olympics packages from a number of car companies. Telecommunications industry also took advantage of Olympics advertising opportunities. We saw healthy growth in all of our top 10 advertising categories with the exception of restaurants and department stores. Categories showing the most significant increases over last year in addition to auto and telecom were medical and entertainment. Cable and satellite retransmission fees in the third quarter were $9.4 million this year, compared with $5.3 million last year. Late in 2011, we renewed contracts reaching about 25% of the subscribers in our footprint. We attained fully competitive market rates. Digital revenues in the third quarter were $2.6 million, a 21% increase from last year, driven primarily by local advertising which grew 28%. Our total digital audience continued robust growth, especially with the increased activity from mobile devices. Unique visitors and page views for mobile devices each increased by 68% in the third quarter. Desktop unique visitors were up 13%. It is our experience that mobile users tend to gravitate to broadcast sites for information as corroborated by the 68% growth figure I just mentioned. Engagements levels are particularly strong for our weather, news, high school sports and event mobile apps, where we are experiencing 10 times the page views per unique visitor that we see from desktops. This speaks to the power and influence our brands have across multiple screens in these key elements of our franchise. We are aggressive about growing our digital audience and revenues. Our newspaper experience gives us a sense of urgency as we evaluate legacy platforms and focus on new ones. We saw our newspapers move toward digital but, as we all now appreciate, not fast enough. We believe this experience provides Media General with a competitive advantage. So we're serious about pursuing new ways to sell digital products and new ways to build page views by adding efficiently new mobilized content, all with the aim of fully capturing the growth in the digital side of our business. In closing, let me underscore our belief that Media General has a very promising future as a television broadcaster, with the portfolio of top ranked stations located in attractive markets. It’s a time of great opportunity and we have a clear path forward. I'm honored to lead the company starting January 1. We’ll capitalize on the new frontiers afforded by technology and evolving customers through preferences. As we grow, we will uphold our commitment to trusted journalism and/or core values of integrity, quality and innovation. Now, I'll turn our presentation over to Jim for his perspective on certain expense items and on the balance sheet.
Jim Woodward: Thank you, George. I’d like to call our attention to the new presentation for operating costs on the consolidated statements of operations in our press release. Starting with the third quarter, our statement reflects new line items for station production expenses and station SG&A expenses, and a separate line item for corporate expenses. Station expenses in the third quarter increased 12%, including higher sales costs associated with our increased revenues and the absence this year of $1.2 million in furlough savings at the station level last year. Corporate expenses in the third quarter were even with last year at about $7 million excluding $3.3 million of corporate severance expense, $700,000 from last year's furlough savings and $1 million of incentive compensation expense that was not present last year. The first line in the supplemental corporate expense table shows our corporate expense this year was $6.4 million compared with $7 million last year. These amounts included the furlough impact I just described and some benefit this year from a corporate staffing reduction that occurred on July 31st. The savings from the corporate downsizing, which affected 75 positions, will be more evident in fourth quarter and next year. Some of the employees who were notified on July 31st that their position was being eliminated were given delay termination dates to avoid business disruptions. Most of the 75 people who were notified have now left. We’ve implemented plans to reduce corporate expense from $32 million annually to $20 million, a run rate we're already close to achieving. Our corporate staffing has actually been reduced in half since June, including the employees who went to work for World Media Enterprises and employees from the July 31st reduction in force. Total interest expense in the third quarter was $20 million, of which $2.4 million was non-cash. The non-cash interest expense reflected discounts related to original issue, warrants and certain fees that are amortized over the life of the loan. Non-cash, debt modification and extinguishment costs were $17 million, primarily due to the accelerated recognition of discounts and fees upon paydown of the term loan. Tax expense continues to be non-cash largely related to our “naked credit” issues previously discussed in our public filings. In the third quarter, tax expense related to continuing operations was $3.4 million compared with $847,000 last year. The difference is primarily due to the absence of $2.7 million in tax benefits related to intra-period tax allocations and interest rate swap exploration. Due to the sale of our discontinued operations, we expect our tax expense all of which is non-cash to be approximately $3.4 million in the fourth quarter. We expect our net operating loss carry forward for tax purposes to approach $300 million at the end of 2012. This NOL will be available to offset future taxable income for up to 20 years. Therefore, we do not anticipate paying any significant cash taxes for the foreseeable future, and will have a 0% effective tax rate for cash flow purposes. Capital spending in the third quarter was $3 million compared with $5 million last year, mostly for equipment and software upgrades at our stations. We continue to expect capital spending for the full year to be approximately $15 million. Debt at the end of the third quarter was $551 million compared with $652 million at the end of the second quarter. We use the proceeds from the sale of our newspapers to Berkshire Hathaway to achieve this reduction. Currently, we have nothing drawn on our revolver. We are pleased that S&P raised its credit rating for Media General last week, based on its expectations that we will have sufficient liquidity to meet our interest expense, pension contribution and capital spending needs in 2013 despite much lower political advertising revenue. Enterprise EBITDA was $28.5 million compared with $12 million in the prior year. Enterprise EBITDA margin was 30%, compared with 18% last year. For the full year 2012, we expect the cash provided by operations will be used to make interest payments of $65 million, capital expenditures of 15 million and retirement plan contributions of $9 million. That pension number is down from our previous guidance of $13 million, and that reduction is due to the relief recently passed by Congress. Our focus is on progressively increasing broadcast cash flow and enterprise EBITDA margins. At the market level, we're focused on ratings and share increases as well as expense management. I have already discussed our plans to reduce corporate expense about 35% to 40%. Increased cash flow will support and accelerate our deleveraging plan and we have good incentive to do so. Our new term loan agreement provides the stepdown in the interest rate from 10.5% to 9%, when leverage reaches 3.5 times. And now I'll turn it back to Marshall.
Marshall Morton: Thank you, Jim. Let me provide some guidance for the fourth quarter. Total revenues are expected to increase 25% to 28% over last year. That includes everything political, retrans and so forth. Our stations are focused on a couple of things. First, no surprise, we are managing our inventory as strategically as possible through Election Day. Beyond then, the stations are focused on post-election opportunities to recapture revenue from the political displacement. And a lot of planning internally and with advertisers has already gone into that. We are also capitalizing on Thanksgiving and Christmas holiday advertising opportunities. Additionally, our stations have done an excellent job expanding their local news and programming. We’ve expanded the morning news block to as early as 4:30 in many markets, and we’ve added 7 p.m. newscast as well as Saturday, and Sunday morning local newscasts at several stations. It’s not unusual for Media General station to run 35 to 40 hours of local news each week. Many of our stations produced very popular local variety shows. This averages about five hours a week at the stations that offer this type of programming. All of this local content attracts new viewers and advertisers, reduces syndicated programming expense and increases our spot inventory and will help position our stations in 2013, as they work to recapture the lost event driven revenues from this year. Media General is in a strong position to move forward, building on a platform that is digital and broadcast in a world that I think is filled with more and more users who are getting their information through digital means and broadcast television. So with that and a strong management team I have been working with for years available to succeed me, I'm convinced we’re in great shape. Media General will have the pleasure of speaking at the UBS Global Media and Communications Conference in New York in December. I hope to see many of you there, and I'll be pleased to take your questions.
Operator: Thank you. (Operator Instructions) Your first question comes from the line of Barry Lucas with Gabelli & Company. Please proceed.
Barry Lucas: Thanks very much and good morning. I have a couple of Marshall.
Marshall Morton: Okay.
Barry Lucas: And first, the total revenue, sort of, fourth quarter that you provided guidance for is remarkably comparable to Gannett’s number here today. Not surprising given the NBC profile and the stations that you own but maybe you could address the -- what's doing in the core pacings and particularly core pacings beyond the election?
Marshall Morton: George, you want to talk about that?
George Mahoney: Happy to do that. Barry, good morning.
Barry Lucas: Good morning, George.
George Mahoney: It’s a pretty noisy time to be talking about pace but what we’re seeing is that the fourth quarter looks strong for us. I think it’s premature in the fourth quarter to be talking about any particular number but we are pleased with what we’re seeing for the fourth quarter?
Barry Lucas: Okay. Let me try something little bit different than. I just happened to be going back because the BCF number that you provided was a pretty good one and the margin is I think better than I can ever recall seeing at Media General. In fact, going back to 2004 during the same election period, the margin was in the low 30. So what’s unusual other than you had a great Olympics and political number but you had Olympics in political back then. So what’s unusual and maybe more important how sustainable is the margin improvement?
Marshall Morton: A big difference of course is that we pulled our costs overall down during that time period. The world of 2004 and the world of 2012 are two different things. And so we’ve learnt to get more out of that -- given our programming and more out of a given group of people because electronics and technology do that. We’ve also, I think, got to say that yes we see it as a sustainable kind of margin. One of that -- we've got two ways to get broadcast cash flow, one is obviously the revenue side, the other pace is spending the money more efficiently. Jim mentioned that $32 million going to 20 on corporate expense, we are essentially there. I mean, we’re so close already that we can see that and some of that comes from the fact that we no longer are supporting a publishing side of the house. Publishing is remarkably physical and despite all the intellectual input that goes into it to get the package out, the customer has a lot of physical attributes and the average -- the average revenue per invoice, for example, is a fraction of what it is in the broadcast side. So that the handling and total handling is remarkably different. I think there’s that but the biggest piece is when we pulled our cost down effectively and we’re doing it through 18 TV stations, not through 64 newspaper spots 18 TV stations.
Barry Lucas: Great, Marshall. Thanks. Last item for Jim is I look at the balance sheet now and sort of 550-ish million of debt and think about what the puts and takes are for year end, maybe you could just highlight things like is that pension outlay already in the cash flow number and the balance sheet and so what happens other than the normal funds from operations in Q4 that moves that debt number up or down?
Jim Woodward: Well, first, the pension contributions, we’ve made all our pension contributions in 2012 that we will need to make. All those have been contributed. So that cash numbers have flow through the statement as well as through the balance sheet. The numbers that pushed the debt numbers, the balance sheet number up is we continue to amortize and recognize the discount, the debt modification in the fees, that’s kind of push that number up. The principal amount of our debt is $601 million.
Barry Lucas: Okay. And then that gets reduced by the free cash and/or any proceeds if there are any proceeds from, Tampa?
Jim Woodward: Correct.
Barry Lucas: Okay. Thanks very much.
Jim Woodward: Sure.
Operator: Your next question comes from the line of Edward Atorino with Benchmark. Please proceed.
Edward Atorino: Needless to say, nice quarter. I’m looking at this free cash calculation. I think I’m at the right page here. As a negative but in the $80 million loss, isn’t there the $17 million of sort of non-recurring stuff?
Marshall Morton: Yeah, sir.
Edward Atorino: Right.
Marshall Morton: Yeah.
Edward Atorino: And that’s a non-cash, that $17.3 million?
Marshall Morton: That $17 million is non-cash.
Edward Atorino: So why you dumping in the free cash flow, shouldn’t you add it back and sort of a negative 12 have a positive five?
Marshall Morton: Barry, I’m sorry. What…
Edward Atorino: You have a loss of $18 million to get to a negative 12 on free cash flow but if the negative 18 includes $17 million I would call non-recurring, could you sort of add it back and let’s say have adjusted free cash flow positive or is that accounting legal?
Marshall Morton: Yeah. I need to check with my accounting folks. The presentation of the information has lot of rules around it and we try in the supplemental information and …
Edward Atorino: In your income statement, you would show loss from whatever and then you would show you’ve some kind of adjusted net income number. You’re just penalizing yourself. As I look to benefit now, such a good year end and big negative free cash flow but then I’m looking at the details and I think you’re penalizing yourself?
Marshall Morton: Ed, you and I must have gone to the school of accounting because -- of course, I’m not an accountant but I feel the same way about it. If the whole idea is to talk about free cash, your analysis is….
Edward Atorino: Yeah. I mean, just because I got great quarter and no free cash, I was just a little bit puzzled on that.
Marshall Morton: Thank you for that. I think that’s our presentation point that we can ….
Edward Atorino: Yeah. Also that the follow-up on Barry’s question, I’ve heard this crowding out thing, what you call it, it has got to be pretty serious and is there. I know you call a sell-out number post election and is there any money spilling over beyond January 1 into early 1Q -- Q1?
Marshall Morton: I’m going to let George answer a piece of that but I wanted to say I’ve been visiting our stations over the past couple of weeks talking with them about Media General in its current format and how much opportunity that provides them to go in their marketplaces and the thing that they have been wrestling with for the past several weeks has been the crowd out issue.
Edward Atorino: Yeah.
Marshall Morton: Unfortunately, we have lot of experience with that in 2010 and did a very good job of working with the advertiser upfront to let them know that there was this potential end to begin planning already to move that advertising into November and December. And I believe, we’ll be successful in doing that again. We’re certainly pushing in that direction very hard, because you’re right, managing that inventory available time inventory, when you get candid of money and pack money coming in at the last minute all looking for a home that they like and you want to keep everybody happy and convinced that you can accommodate them has been a trick, but it’s a trick but its high-class problem that we’re enjoying working with.
Edward Atorino: Now, sort of leapfrogging forward to let’s call it next years third quarter when all the political money goes away and you resell or whatever you call it, we reallocate the kind of the politicians stock. My understanding is some politicians get big discounts, others don't. Will you have sort of a quote rate advantage, when you resell the low rates on -- on some politicians in the regular rates and others would seem to me with net out below normal “pricing”, am I right or not?
Marshall Morton: Well, the rules are tricky. But I shy away from saying that some politicians got a different way than others. The state level races are bit different from federal races and things like that and the rules are pretty complex.
Edward Atorino: Right.
Marshall Morton: And again into those on the phone, but when we get into the next year, this is one our centralized traffic operation, which is the way we allocate and price our inventory, it becomes critical for us. And in environment like right now for core business is good as well as the political business, we really are in a nice situation because we really not discounting anything, so it’s…
Edward Atorino: I see. Okay.
Marshall Morton: You follow me. I mean…
Edward Atorino: Yeah. I got you.
Marshall Morton: …if we got in a like transaction period and we were selling off inventory cheaply, we owe that same price to the politician that’s the whole lowest unit rate.
Edward Atorino: So next years third quarter you sort of “normal”?
Marshall Morton: Well, next years third quarter, we don’t have too much political, our couple of our…
Edward Atorino: I mean on your pricing. The pricing is not going to have any built-in upside, much built-in upside.
Marshall Morton: Not built-in but based on how well we deal with the inventory, we can do it for ourselves. It’s all -- it’s like airline seats, you know. I mean, it’s all auction.
Edward Atorino: Yeah. Yeah.
Marshall Morton: Okay.
Edward Atorino: Okay. Thanks.
Marshall Morton: Sure.
Operator: (Operator Instructions) Your next question comes from the David Cohen with Midwood Capital. Please proceed.
David Cohen: Hey, gentlemen. Have couple of questions. One, you comment on expectations for fiscal 2012 of making it just famous to $65 million. Now let’s hope lot of changes that occurred in your balance sheet, but my sense is that is actually a pretty good approximation for what go forward cash interest expense will likely be given the 601 principal amount of your debt, is that an accurate assumption?
Jim Woodward: Yeah.
David Cohen: Okay.
Jim Woodward: Yeah. It’s -- look bear in mind that we can refund the 2017 bonds and 2014. So, I mean -- going forward as long as you don’t look too far forward, I think…
David Cohen: Yeah. I am not looking too far. I mean at least 2013.
Jim Woodward: Yeah.
David Cohen: And then the expectations for total revenue growth, is that 25% to 28% is that net of agency commissions?
Jim Woodward: Yeah.
David Cohen: That’s GAAP revenue, okay.
Jim Woodward: Yeah.
David Cohen: And is there anywhere did you provided, given that -- the company transform so much after June, is there anywhere you provided a presentation of your face results like you have today for 2011 so that for example, what was broadcast cash flow for all of 2011 by the same categorization that you have today.
Jim Woodward: Have you look at the 8-K, I think you find what you need there, but if not give us ring.
David Cohen: Issued when?
Jim Woodward: The 8-K was issued…
Lou Anne Nabhan: June 29.
Jim Woodward: June 29…
Lou Anne Nabhan: Yeah. Every press release.
Jim Woodward: Yeah. There was a 8-K there, in June. That’s right.
David Cohen: I thought, I look -- I certainly look for that and then could you reiterate your comment about corporate expense run rate?
Marshall Morton: I think Jim and I said the same thing, Jim you.
Jim Woodward: Yeah. That we set a goal $20 million and Marshall is right, we are all but there and at that run rate, we are confident and I know that we can -- have retain that run rate for 2013.
David Cohen: Okay. So just by comparison to say this quarter the best approximation is the 6363 that we look more like $5 million on a quarterly basis.
Marshall Morton: Correct.
David Cohen: Okay. And the incentive compensation that you have here is that non-recurring, we likely to potentially see that…
Jim Woodward: Performance based, so we hope its reoccurring.
David Cohen: Okay. But in the $20 million is not inclusive of that.
Jim Woodward: That is correct.
David Cohen: Okay. Great. Thanks gentlemen.
Jim Woodward: Thank you.
Operator: (Operator Instructions) Your follow up question comes from the line of Edward Atorino with Benchmark. Please proceed.
Edward Atorino: Question, the previous gentleman sort of gave me all the details. Thanks.
Operator: (Operator Instructions) Your follow-up question comes from the line of David Cohen with Midwood Capital. Please proceed.
David Cohen: Yeah. One last question, you obviously had fantastic revenue growth in the quarter and your station operating cost grew at a much lower rate than that. Can you give us a sense of in the future what that relationships likely to look like in terms of the relative growth in station operating versus revenue growth?
Marshall Morton: I’m going to profess Jim’s response to that by saying that and this goes back on earlier question about broadcast cash flow margins. We realize that we could make a lot of improvement on the margin level and so we have a corporate project underway right now, pushing further on that score. You saw some improvement this quarter helped by good revenues but the relationship ought to be one, where we see much better broadcast revenue growth to the company a much slower or reducing level of costs.
David Cohen: Okay.
Jim Woodward: The only thing I would add to that is a, if you trying to think about '13. I would think about some of the normal costs, the salary increases for the folks that are performing well. And we are also balancing an investment in growing our margin with growing the margin if you will. So, yeah, there could be and will be some increase in that, but I think it will be more than compensated by the increase in margins.
Marshall Morton: I think it’s worth focusing on this, David, because our result this year have been muddied a bit by the move from a broadly diversified media company to tightly focused digital and broadcast company. So, there is lot of surplus our extra one-time expense as you pointed out in the numbers thus far. The fourth quarter as we see and now should be clean. We’ve done all the accounting of for the sales and dispositions. We’ve announced the employee staffing reductions those are behind us and so moving forward, we able to see the fourth quarter is reasonably go to approximation of what you look for going forward.
Jim Woodward: And that’s important to us as we ahead into '13, we are broadcast and digital company, and we need to make that clear. So, our bonds are callable. The 2017 bonds are callable in February of 2014. And we are actively engage in monitoring the market, working with our advisors to make sure that we take advantage of that opportunity to lower our cost to debt. And being transparent and having pure broadcast in digital expenses into '13, we will give everyone in the market, but equity and debt a better picture of what we are capable of.
David Cohen: Is what kind of a pricing could you call at in '14?
Marshall Morton: It’s a 106. It’s 105 and 7, 8, 106.
David Cohen: Okay. In February…
Marshall Morton: And the bonds are trading…
David Cohen: Yeah. Actually, trading…
Marshall Morton: Yeah. At 116, 15. So, we loved to be able to doing now, but bond investor see media journal as an excellent investment.
David Cohen: Right. Thanks, guys.
Marshall Morton: Thank you.
Operator: Your next question comes from the line of Barry Lucas with Gabelli & Company. Please proceed.
Barry Lucas: Thanks for the follow-up. Marshall and George anything left in the portfolio in terms of real estate or other assets that might be monetize that could help you on the balance sheet or get to that February '14 date that we are going to be looking forward to?
Marshall Morton: Jim is looking at surplus assets and he has kept that under his -- in his per view for sometimes. I would just say before that on operating assets at the moment we like the once we have got. We are interested in duopoly kinds of situations. We’ve got one that works very well for us. It allowed us to expand our impact in the marketplace. There are still two voices one we owned, one we managed and it works profitably for us and for the people who are they are on the station we’ve got better equipment and better situation. When it comes to surplus property Jim?
Jim Woodward: Yeah. The one thing I will point out is in the sale of the Tampa Tribune we retain bulk of the real estate that what was sold was the building that has offices and the presses for the newspaper. So we retain the surface lots, the parking desk and we are looking to monetize those when at the right price and in the market. So that would help us on the balance sheet. We also retained a office building in New Port Richey. And we have other partials that we are actively marketing, so that would help, monetizing those would help us on the balance sheet, definitely would.
Barry Lucas: Keep those material, could they be material?
Jim Woodward: They could be material. Yes. Less noticeable.
Marshall Morton: They are least noticeable and in the -- I hate to give a price, but they could be material and they are surplus to us. We don’t need them in the operation of our business.
Barry Lucas: Great. Thank you.
Operator: Your next question comes from the line of Edward Atorino with Benchmark. Please proceed.
Edward Atorino: Not showing any digital revenues I think your last 8-K or 10-K, what would I call, did have a blind for digital media, they just buried away in the broadcasting or they so small now they don’t count?
Marshall Morton: Supplemental information they are, I think George mentioned, there were $2.7 million buried…
Edward Atorino: Oh! I see, well, I got them. I found them. Okay. Got it.
Marshall Morton: Yeah.
Edward Atorino: Okay.
Marshall Morton: 20.7% increase.
Edward Atorino: Yeah. Now, I’ve got it. Okay. And just was looking for the income statement. Okay. Got it. Thank you.
Marshall Morton: Sure.
Operator: (Operator Instructions)
Marshall Morton: Well, let’s talk to no more questions. Thank you very much for this and chance to talk to you today will, as I said earlier will be in New York in December at the UBS Conference and look forward to seeing you there. I appreciate your interest. Give a call anytime. Thank you.
Operator: Thank you for your participation in today’s conference. These conclude the presentation. You may now disconnect. And have a great day.